Operator: Good morning, and welcome to the Jacobs Engineering Fourth Quarter Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Michelle Jones, Vice President of Corporate Communications. Please go ahead.
Michelle Jones: Thank you, Gary. Statements included in this presentation that are not based on historical facts are forward-looking statements. Although such statements are based on management's current estimates and expectations and currently available competitive, financial and economic data, forward-looking statements are inherently uncertain and involve risks and uncertainties that could cause actual results of the company to differ materially from what may be inferred from forward-looking statements. When used in this presentation, words such as anticipate, estimate, expect, seeks, intend, plan, believe and similar words are intended to be -- intended, in part, to identify forward-looking statements. Some of the factors that could cause or contribute to such differences are listed and discussed in Item 1A, Risk Factors, of the company's most recent annual report on Form 10-K for period ended September 28, 2012. The statements regarding the transaction with Sinclair Knight Merz are also forward-looking statements, and there is no certainty that the transaction will close or that the expected results will occur. These factors are noninclusive, and the company undertakes no obligation to release publicly any revisions or updates to any forward-looking statements that are not contained in this presentation. Readers of this presentation are encouraged to read carefully the company's most recent annual report on Form 10-K for the period ended September 28, 2012, including discussions contained in items 1, Business; 1A, Risk Factors; 3, Legal Proceedings; and 7, Management's Discussions and Analysis of Financial Conditions and Results of Operations, contained therein and other documents the company files from time to time with the U.S. Securities and Exchange Commission for further description. I'd now like to turn it over to our EVP and Finance and Administration Officer, John Prosser.
John W. Prosser: Thank you, Michelle. Good morning, everyone. I'll briefly go through the financial highlights for the quarter, and then I'll turn over to Craig Martin, our CEO, to review the operations for the quarter and look at -- a business overview. Going to Slide 4, Financial Highlights. As was reported this morning -- or last night, the EPS for the quarter was $0.84. This is a nice growth over the fourth quarter of last year, which included an unusual gain. But without -- excluding that gain, the growth is well over 13%. The earnings for the quarter were $110 million -- $110.8 million. For the year, the EPS was $3.23, also a nice gain over last year, and the net earnings of $423.1 million is a record, exceeded the peak that we have back in 2008. Backlog year-over-year has grown nicely at $17.2 billion and good growth, as I'll talk about in a few minutes, in both field services and technical professional services. The book-to-bill for the year was 1.11, so a little bit over 8% growth over last year. We continue to have a very strong balance sheet. Cash position at the end of the year was $1.26 billion. Our net cash was a little over $800 million. So we're in a very strong balance sheet position. It's -- we're initiating our guidance for fiscal year '14 at the range of $3.35 to $3.90. This range includes the anticipated closing of the transaction with SKM that Michelle mentioned, that we expect to close mid-December. This range also shows nice growth for next year, but we're also seeing some weakness that will impact our first quarter. Some of the things that we see that are negatives for the first quarter is the -- one of it is the typical vacation and holiday season that we see around the Christmas and New Year's timeframe, and that's the same this year. It's been that way for the last couple of years, as you can see it. And also, with the closing -- the timing of the closing of SKM, we'll pick them up [ph] right in the middle of that vacation and holiday season. So while their contribution for the year, certainly, is going to be nicely positive, their impact on the first quarter is going to be negative. Also, there'll be continuing pressure from transaction costs, as we finalize and close the transaction and you'll all remember that earlier this quarter, the government had a shutdown, and while that wasn't a big impact, it did have an impact on our operations for this quarter. So you take all those items and while we see the first quarter with the weakness [ph] , we still believe that the year will be a very good year for us. Moving on to Slide 5. This is just the history of growth. You can see that net income curve is back up over the previous record of 2008 and while we have dipped below the 15% target earnings, we believe, particularly as we look at the growth next year and moving forward, that we'll get back up on to that 15% growth line in the very near future. Moving on to Slide 6. The backlog showed good growth, a little over 8% year-over-year and growth in both field services and professional services. We're also seeing that impact on our revenues as well. The mix is moving back towards that -- closer to the 50-50, that would be more of historical mix between professional services and field services. So we think that we're seeing the pickup of that. But the field services backlog does tend to be a little more lumpy than the professional services, and we're seeing that impact kind of the growth trends in the backlog as well. So with that, I will now turn it over to Craig Martin to review our growth and business overview.
Craig L. Martin: Thank you, John, and good morning, everyone. We're now on Slide 7, where we talk about our growth strategy. I think you've all seen this slide many times in the past. I'm going to talk about each of the first 4 bullets individually. So I'll talk about our business model, our diversity, our geographic presence as a part of that discussion and where we're going with acquisitions and maybe take a minute or 2 talking about where we've been. And then also wanted to mention the cost situation because we continue to have what I consider to be excellent cost control in the organization right now. Our folks are doing a very good job of keeping their costs down. And considering that we've had some project activity moving to the right, the fact that we've kept our cost posture down, I think, positions us very well for the competitive scenarios that may be out there as we look forward. So I think that's going to be another positive for Jacobs as we look ahead. Moving on now to Slide 8. This is our relationship-based business model. It is essentially what I think of as a virtuous circle. We have this long-term relationship approach to our clients. It builds trust, allows us to improve our deliveries to customer and adds superior value. As a result, they have high repurchase loyalty that drives our growth, lowers our costs, limits our risk, all that being steady earnings growth, which we can then reinvest to build those relationships. And all in all, I think that just continues to be a positive for us as a company. I'll point out a few things that have happened in the quarter that I think reinforce that. But I would mention, at this point, that our repeat business for the fourth quarter of '13 was 94.1%, so really, really solid repeat business once again for the company. Turning now to Slide 9. You can kind of see how our business breaks down by the end markets. Not a lot of news here. A slight increase in the amount of business from the process side, and on the industrial side, a little decrease on public and institutional, which I think is consistent with the conversation that John just had. As we look forward, I think the outlook for this business is pretty good, and I'll talk about each of these areas of our business individually. So now turning to Slide 10. This is the public and institutional areas of our market. Starting first with national government. In spite of what is a very difficult environment out there, I think we're doing quite well. We had 8 awards in the quarter that certainly drove a positive outcome. We see a lot of activity in the defense sector in the U.K., particularly in areas like land systems. And of course, in our environmental cleanup business, there are still lots of opportunity there as well. So while the outlook, I think, from you all about the national government market is more negative, our outlook is not that negative. Certainly, there are challenges. We had one of those with the shutdown earlier this year, but I think the overall outlook is that we're going to be able to continue to build a stable and growing business, although not by huge margins just on virtue of our great performance and our low cost. When you look at the infrastructure business, that's just a terrific business, short term and long term. We think it's going to be a strong market for us in the coming year. It certainly seems to be strong right now. There's a lot of investment out there that's required to sustain that business. And it seems to be strong geographically almost everywhere we are, so strong in the U.S. and the U.K., strong in Hong Kong, strong in Australia, particularly important, if the SKM deal goes through. And then the Middle East is a big positive for us right now. We've won a bunch of work there. I think we announced the Qatar rail job during the quarter. We think that's going to represent a really nice growth market for the company and the infrastructure business. And then, of course, we are applying our infrastructure business to other markets and doing so quite successfully. You might also note the growth in the telecommunications business, another place where we announced an acquisition in this last quarter. And I'll talk about acquisitions again in a little bit. On the building side, things are looking better. We continue to become the most significant player in the whole mission-critical technical facilities, arena. Things like data centers are a great strength, and that's a business that's projected to triple in the next 5 years. We see that market going to something like $80 billion. So the services part of that is still very attractive opportunity for us to grow. We see growing opportunities in the health care arena, as well as in education. And we've done a nice job of diversifying our business in the buildings arena away from the federal sector, so that's a positive as well. Buildings is another area where there's very significant growth in the Middle East, and that's exciting for us because that's, essentially, an untapped market for Jacobs. I think we'll see some nice growth from that as well. When you look at the backlog for this set of markets, you can see we had excellent back growth -- backlog growth. We had a new record backlog in this sector for the fourth quarter of '13 at $8.1 billion. I think it's -- we're doing quite well in what many people think is a difficult market. Moving on now to Slide 11. This is the industrial markets. Let me start with pharmabio. It is getting better. The product pipeline is a bit mixed, but there is capital investment, particularly in the biotech world. We're seeing lots of investments in India and Asia. The India markets are projected to grow pretty significantly, and our global reach and innovation is really a key issue for our clients. I don't expect to see a lot of pharma business in places like the U.S. or Europe, but I do expect to see significant growth elsewhere. And our capability in this market, coupled with our geographic reach, is key to our ability to continue to grow in the pharma space. Mining and minerals is growing for us. We've said that it would and it continues to do so. We're particularly successful lately in doing what we said we would do here, which is start to take sustaining capital work and get the kind of money that the customers are going to spend moving toward Jacobs. I would point out the announced win with Codelco in Chile, which is a small and sustaining capital win, is a really good example of where we're going in that business right now and where we're going to be able to find growth that may elude some of our competitors. I think the greenfield business is still going to be weak, so it really is going to be a services-based market rather than a big EPC market for the next little bit. And that explains part of why the overall backlog declined a little. Moving down to the sort of other categories, so power, pulp and paper, high tech, food and consumer products. We characterize that as mixed, although we did get pretty good revenue growth in this area from a quarter-over-quarter basis for the trailing 12, so that's a positive. We have a lot of nice alliance relationships with our customers, and there is decent capital spending in these markets. We're growing our share of power in particular, and I'm pretty pleased with the progress we're making. It's just, geographically, not as broad as we'd like it to be. In a way, it's a pretty significant work off in the high tech arena, and that also impacted backlog, as we haven't been able to replace that EPC work at this point in time. But overall, the industrial business actually looks okay for us as we go forward, and I think our penetration of that small-cap mining and minerals will be key to what is a good outcome in industrial. Moving on now to the heavy process business, so this is Slide 12. Refining is strong. We've done extremely well in the refining sector. There's a lot of activity in low-sulfur gasoline with so-called Tier 3. Some 85 refineries are affected, and the project sizes are in the $200 million plus or minus range. That's an ideal spot for Jacobs. So I think we're going to continue to do very well there. There still are some CapEx in crude slate change projects, as well as a few safety-related projects out there. So all in all, the refining business looks like it's going to be better than we expected, say, a year ago as we look forward. On the oil and gas side, that market remains very strong. It is a global market. We're still a very small player in that market, but I think we're going to see an increasing amount of work for Jacobs as we start to take share. Our upstream units are doing quite well in terms of taking on new work and successfully completing that work, which is a key lever to expanding our share of those customers' wallet. And we see a lot of activity, a lot of significant opportunities or big project opportunities now in the Middle East and in Australia, as well as in the unconventional gas in the U.S. And then, finally, looking to the chemicals business, also a very strong market. We see a lot of activity there. The whole process arena is one that excites us a bunch, and the chemical is probably the strongest single piece of that. Tremendous amount of FEED and pre-FEED work in-house as we speak. So I think we'll see very strong growth there. We also see strong growth in Asia and in the Middle East. So the process markets for Jacobs look like they'll be a real positive. The backlogs tend to be a little lumpy, and so you can see our quarter-over-quarter backlog, there was no real growth. But year-over-year, we're up about 9%. If you look over 2 years ago, it's up 31%. So I think the story's good. I think, because there's a fair amount of EPC here, the backlog growth will tend to be a little on the lumpy side. So now moving on to Slide 13. This is just a quick overview of our acquisition activity. As you know, we've been very busy. We had a number of announcements of acquisitions in the fourth quarter. Things like Ilitha, SKM, Compass, Buchi [ph] , Guimar and Trompeter are all really significant. Several of those help us in the oil and gas market. We have some other activity there that we think is going to be a positive for us going forward, some infrastructure, some mining and metals, telecom. Penetration of our Brazilian business to start to grow in Brazil and a strong opportunity to build Class A license position in China, all those things are products of our acquisition activity up to now that I think are also going to be good leverage for '14 and '15 and beyond. As we look forward, the geographies that remain very interesting, certainly China, South America, Australia are all very interesting from a geographic point of view. I think there'll be some opportunities in the Middle East and Africa as well. From a market standpoint, we remain very interested in oil and gas, niche mining acquisitions. The infrastructure business will continue to be very important to us. And we're going to be taking a hard look at whether or not there's a good acquisition out there in the power business or not. We think that's one of the businesses we're not in that would be a leverage point for us going forward. So moving now to the summary. Why Jacobs? It's sort of our commercial. Our relationship-based business model works. This is Slide 14. I told you about the 94% repeat business. I think our diversification is a positive for us. We've got a great balance sheet, 1.3 -- almost $1.3 billion in cash, $800 million-and-change in net cash. Our cost position is, without doubt, the industry's best. We've been able to demonstrate year-over-year growth, 13.8% between '12 and '13, if you take the Metso thing out, and we're forecasting pretty decent growth for fiscal '14, particularly in light of John's comments about how difficult the first quarter is going to be. So with that, we'll get to your questions. Gary, let me give it back to you.
Operator: [Operator Instructions] Our first question comes from Jamie Cook of Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: A couple of questions. Obviously, on the guidance, I think the Street was disappointed here. Could you just provide a little more color? I mean you cited a number of items that are going to impact the first quarter in terms of seasonality, transaction costs associated with SKM, government shutdown. Can you just provide a little more color on -- or could you quantify those items so we can get a better feel for what the first quarter is and how we think about the remaining 9 months of the year? And then also, could you help us understand what you're assuming SKM contributes to the total year?
Craig L. Martin: John?
John W. Prosser: I'll take the second question first because we're not going to break down, at this point, SKM from the overall guidance because it's just part of our overall guidance. This is based on our anticipated close in mid-December. But it is accretive for the year, and it is -- and it will be -- continue to be accretive, but it is only for, basically, the 3 quarters of the year. The first quarter weakness, typically, what we're seeing is, particularly in the last couple of years, is that the holiday vacation season around Christmas and New Year's always has an impact. You can go back and look and kind of see what that has been the last couple of years, from our fourth quarter to our first quarter. And the transaction costs, well, one of those have already been expensed. They are behind us. They will be -- there are continuing costs that are being incurred as we come up to the various activities around closing and the filings and the dealing with courts and dealing with shareholders and everything else that goes around with the SKM transaction. And also, as Craig mentioned, there were a number of other transactions, a couple of which, while they're smaller, will be closing this -- or half closed this quarter. So they have an impact this quarter as well. So -- and when you look at the SKM closing, the timing of the closing is going to be probably absolutely the worst time from a contribution in the first quarter because if we close on the schedule that we anticipate, it'll be right before Christmas. And so while we'll have them in our financials for a couple of weeks, it will be right when they're going on vacation and the holiday season. And being primarily in the Southern Hemisphere, it's also summer season for them. So it's right in the middle of their summer vacation season as well. So...
Jamie L. Cook - Crédit Suisse AG, Research Division: But John, can you just -- I mean I understand what the different factors are. But 2 things, while you won't break out the items, I'm assuming EPS in the first quarter is down from last year. Could you -- is that fair? Can you help us with...
John W. Prosser: Yes. That's exactly what I was going to say.
Jamie L. Cook - Crédit Suisse AG, Research Division: [indiscernible] first quarter? Sorry, one more question.
John W. Prosser: We're expecting all these things will have an impact of probably somewhere between $0.10 and $0.15 and so over what we would kind of expect to see from just a trend or flat comparison to the fourth quarter.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. Okay, that's helpful. And then, I guess, my second question is, it just relates to the margins that we've been seeing. If you look at your margins in total -- and I understand you have mix factors with field services being up more as a percent relative -- to field services being up more year-over-year versus the technical professional services. But the margin trend in the back half of the year, and I know there are some items in there, have been down versus the first half of the year. Can you just give color how we think about margins going forward, given the competitive environment you're seeing and your ability to be more cost-effective relative to your peers? Do you think, in total, operating margins -- let's take the first quarter out of it because there's some onetime items in there, but do you think margins year-over-year -- operating margins should improve year-over-year? And then I'll get back in queue.
John W. Prosser: No. I think the trend, as we see, is the field services picked up. This year's field services were like 47% of our revenue. So it has picked up. And even in spite of that change, even from the third quarter, our margins picked up a little bit even with the impacts of the holiday seasons and things like that. But I would expect to see, as we trend through next year and we'll have the impact of SKM coming in and the amortization of intangibles and things like that, so that will be -- actually, it will bring their historical margin trends down a little bit. I would expect to see relatively flat margins, maybe slight improvement. I don't think we're going to see a lot of degradation from where we are now, but I don't see a big growth in margins this next year. As we move out, I think we'll see a little bit better. But I think we're still in kind of a transition from the front-end engineering and such getting into the field. So I think you're going to see relatively flat margin trend.
Jamie L. Cook - Crédit Suisse AG, Research Division: And is that inclusive of the first quarter, just to clarify?
John W. Prosser: First quarter, the margins might be down a little bit.
Jamie L. Cook - Crédit Suisse AG, Research Division: But full year flat to up, is that inclusive of the first quarter? Is that the 9 months?
John W. Prosser: Yes.
Operator: The next question comes from Vishal Shah of Deutsche Bank
Susie Min - Deutsche Bank AG, Research Division: This is Susie Min for Vishal Shah. I had a question on your book-to-bill. It seems to be improving, and it sounds like a part of it is from the way the projects are being managed in phases. So I wanted to reconcile that with the commentary on projects potentially moving to the right. And then I have a follow-up question.
Craig L. Martin: Well, I think book-to-bill has been good for a while now, and we remain pretty happy with where we are. Obviously, the ramp-up in backlog that would be driven by EPC has not appeared in the numbers, and that's largely a product of that, things moving to the right a little bit. As we look at the outlook, though, for the FY '14, we think that movement to the right is largely behind us. I don't mean largely behind us like tomorrow largely behind us, but I think as we get through the first fiscal quarter and get into calendar '14, we'll start to see those EPC releases. And we'll start to see the -- actually see some backlog acceleration. We're particularly upbeat about what we're seeing in, say, the U.S. and Middle East in that regard in both chemicals and refining. So I'm not sure that answers your question. If it doesn't, please elaborate. But I'm feeling pretty good about getting close to the end of this "moving to the right" stuff.
Susie Min - Deutsche Bank AG, Research Division: No, that's very helpful. And then you mentioned large project activity in the Middle East and Australia as it relates to oil and gas. And just wanted to get some clarification on what types of projects you guys are looking for and potentially, timing on those projects.
Craig L. Martin: Sure. Largely, we're looking at business in the upstream areas. So it's oil and gas related, in fact, largely gas-related. A lot of new production, straddle plants, fast [ph] treatment and cleanup and some very substantial projects in the Middle East, pretty substantial projects in Australia. And frankly, there may be some pretty substantial projects in the U.S. as well, but I'm not quite as positive about those as I am the other 2.
Operator: The next question comes from Andrew Kaplowitz of Barclays.
Alan M. Fleming - Barclays Capital, Research Division: It's Alan Fleming standing in for Andy. Wanted to follow up on a question around the guidance. The range is a bit wider than we're accustomed to even maybe this early in the fiscal year. So wanted to see if you could comment on what's driving that. Is it government uncertainty getting worse or is it just still very difficult to predict as we sit here now? Or is there something else that we need to be thinking about?
Craig L. Martin: I think there's a number of factors that are driving the wide range. Certainly, the weakness of the first quarter is part of what's driving the downside of that wide range. We're -- we would be way more optimistic about -- well, way might be exaggerating -- be more optimistic about the year if the first quarter weren't as weak as we expect it to be. On the upside, I think there -- well, one of the downside factors is, certainly, we still don't know what the government is going to do after the first of the year and what impacts that might have. I think we've done pretty well in dealing with those issues up to now. But they are very unpredictable, and I think it's hard for us to judge what the impacts of government action might be, positive or negative, frankly, as we look into the second and third quarters of '14. On the upside, we're actually very, very upbeat on the SKM deal. It's a little bit early yet to say with certainty how that's all going to work out, when we're going to see the integration costs fall off, how the intangibles and amortization of those are going to affect the numbers. So there's a lot of things going on yet that we have some uncertainty about. And of course, the markets that we've acquired here, one is the mining and minerals business, and as we all know, that business is challenged. We think that the combined Jacobs, SKM companies are extremely well positioned to leverage that, but that's not a certainty at all at this point. So I think the SKM thing could easily be a factor in pushing us towards the top of the range. I think the federal government issues could be a factor to push us to the bottom of the range. Also the factor of this first quarter is a factor in all that. So long-winded answer to say that the range is wide because we see uncertainty in a couple of directions, and so the potential is anywhere from a low number to a high number relative to where we are today.
John W. Prosser: I'll just remind you that, last year, the range was at $0.50 compared to this $0.55. So it's not really that much different than what we've done historically, particularly at the beginning of the year.
Alan M. Fleming - Barclays Capital, Research Division: Okay. I appreciate that. Maybe an unrelated follow-up. But we do give you significant credit for, I think, your relationship-based model, but when I think about Jacobs through the last North Americana up-cycle, as things started to improve in refining, you were able to, I think, book some larger projects. So as the petrochemical momentum continues to improve, can Jacobs win some bigger projects? And are there some larger opportunities on the horizon as you look at '14?
Craig L. Martin: The answer to that is, absolutely. I think there are some significant major projects on the horizon. George Kunberger, who's our Head of Global Sales, is sitting here with me. George, do you want to elaborate?
George A. Kunberger: Yes. I mean, without getting specific about what you're referring to for a few years ago, well, I would characterize today's marketplace as compared to 4 or 5 years ago, what you're referring to, the 1 big project, I think, you're thinking of, those aren't necessarily out there. But there's a large volume of projects that are sort of just a little bit below that, maybe half that size in size. A large number as opposed to before where there were a few of those really big ones, but only a few. So I've certainly -- personally, where I sit, relative to the chemical business, as Craig said, in the U.S., in the Middle East and even to a degree, in Asia, the prospects are pretty broad and pretty rich and good sized. And I do think that we'll have an opportunity to capitalize from a construction perspective on a large percentage of them, or at least our share.
Craig L. Martin: Yes. If George only gets our share, I'll be disappointed.
Operator: The next question comes from Tahira Afzal of KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: First question is with regards to SKM. Maybe we can talk a little more about that, and I know it was an employee-based company. And I'm hoping you can kind of talk on a very broad-based basis about retention incentives, et cetera, that we should assume as we go forward and assuming the deal is closed.
Craig L. Martin: There's probably not a lot we can tell you on that regard. We are aggressively approaching, making sure we retain the key leadership in SKM as part of the transaction. It is employee-held. On the other hand, employee ownership is individually quite small. So even given the size of the transaction, it's not like we're making people incredibly rich and they're going to run off and buy houses in the south of France. But we are working hard to make sure we retain those folks. I think I've mentioned this on this call before, our retention of executives in acquired companies is one of the great success stories of our company. We generally have managed, over the years, to keep 90% of the key executives in the companies that we've acquired for 5 years or more. And I fully believe that we'll be able to implement our approaches and create the opportunities for these folks in SKM that will keep them in the company and put them in leadership roles as we go forward. So I think retention, while it's always a challenge, something we manage very carefully. I believe we'll be able to deliver the right package for the folks here and that they'll be excited about being a part of our future.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Okay, great. And I guess, the second question is also tied to SKM. I know the amortization number is nothing that you can really talk about, the deal flow, where we see that. We've all seen that be the case. But there seems to be some articles out there that suggests the EBITDA margins are fairly higher there for SKM than for the rest of your company, and so that would seem to suggest that either SKM is contributing materially for 2014 or that there's a lot of amortization, perhaps, associated with the company. So to the extent you could comment, it would be very helpful.
Craig L. Martin: Well, comparing SKM to Jacobs, SKM is largely a professional services consultancy firm, whereas Jacobs is an EPC firm. That's one of the leverage opportunities in the transaction longer term, is to move more EPC and EPCM into the combined companies. But that would suggest that, in terms of margins, that SKM's margin across its revenue would be a little higher than Jacobs because they don't have the field services component to the extent that Jacobs has it. And so that does represent a positive for us in terms of the acquisition. Things like amortization of intangibles, integration costs are all factors that have yet to be worked out and can't be worked out, frankly, until the transaction closes. And so that -- getting to any more detail at this point would be premature.
Operator: The next question is from Steven Fisher with UBS.
Steven Fisher - UBS Investment Bank, Research Division: Just looking at the guidance for next year. Still coming in a little below 15% on EPS growth. So I guess, I'm just wondering what do you think it will take to get you back to that 15%. Is it just more faster backlog and revenue growth? Is it margin mix? Is it cost-cutting? Where -- which one of those is most going to get you back to the 15% growth?
Craig L. Martin: Well, I don't think that the 15% growth number is going to be driven by cost-cutting. We're just not going to save ourselves into the 15% growth. I do think that as the markets start to -- particularly the heavy process market, starts to move from FEEDs to EPC, we'll start to see that growth start to occur. I have certainly haven't given up in 15% growth is well within the range of the EPS numbers we have given you coming out of the box here. So I'm not at all pessimistic about the potential for 15% growth in the relative near term, and I think that it will be sustainable at that level or higher for several years thereafter. Does that answer your question, Steve?
Steven Fisher - UBS Investment Bank, Research Division: Yes, it does, Craig. And then just on pricing, I wonder if you could just comment a little bit about what you're seeing in both public sector and private sector markets. I'm wondering if some of the challenges in the public sector market are equally offsetting the private sector improvements. Or is it more -- one leaning more towards the other?
Craig L. Martin: Well, certainly, we're seeing pricing pressure in the public sector markets, part of it anyway, but mostly the federal government arena, that we have not traditionally seen. So that business is more challenging. It isn't affecting our ability to win work. I think you can see that from the backlog numbers, but the margin that's in that work is certainly not as strong as it might have been a few years ago. On the opposite hand, things like the private sector businesses, the heavy process market, we are seeing improvements in margins but not significant ones. It's still more -- because a lot of the stuff keep moving to the right, it's still a more competitive marketplace than I would have told you a year ago I thought it would be at this time. And so we aren't seeing the improvements in margins that I would have expected as of -- by now. We are seeing improvements. Our margins in that business are moving up. They're just not moving up very fast, and so we haven't quite seen the benefit from that. How does that all add up in the aggregate? In the aggregate, we're seeing slight improvement, very slight improvement in the aggregate margins. But it's in the 5, 10 basis points kind of improvement, not any big number.
Operator: The next question is from Andrew Wittmann with Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So I wanted to dig into the SKM strategy a little bit more. Clearly, you mentioned here that the mining focus -- just can you talk, Craig, about how you get comfortable with that, that the mining maybe the bottom is in or that you priced the bottom in? And maybe specifically, comment on the FAST joint venture, as we understand that, that was a substantial portion of the company's EBIT. And kind of your outlook for that specifically, would be helpful, I think.
Craig L. Martin: Okay, let me try this, start with sort of a big-picture view of SKM. A very attractive company with a long track record of both growth and profitability that we like a lot. And as I think I've said on these calls many, many times, acquisitions are opportunistic. You can only do deals when there's a willing buyer and a willing seller because hostile deals just don't work in our marketplace. And so the timing of doing a deal might not be ideal from stepping into robust markets, but the long-term strategy for doing so still makes a tremendous amount of sense. So while we think there will continue to be weakness in the mining and minerals market, and particularly, that's going to impact Australia, we think this deal has such positive long-term benefits for the company and no negative short-term benefits other than the first 2 weeks of the deal, as John pointed out, that it's -- the reasons for doing it are undeniable. As to the FAST joint venture, I'd can't be specific about that. I think that would be overreaching my ability to talk about that, where we are. We've -- I can say we've evaluated the book of business at SKM, and we're comfortable that the impacts of the changing marketplace will not materially damage the value of the asset. That's sort of double talk, I guess, in a way, but that's really as much as I think I should say.
John W. Prosser: So Andrew, I'd like to make -- just add a little bit of comment to that. Historically, one thing you have to look at with SKM is they really started in the infrastructure and water, wastewater business, and they have a very strong, mature position in Australia, in Southeast Asia, in those markets beyond just the mining and minerals. So this acquisition is not just a mining and minerals, it's a nice position and they -- their focus on mining and minerals complements ours very nicely, but they also round out our business in Australia. They had a new market in Southeast Asia with -- that is complementary to some of the things we've been doing. So it goes beyond just mining and minerals. I think there's been a little bit too much emphasis putting on -- put on the mining and minerals side of the acquisition as opposed to the broadening of our overall business base. And actually, the broadening of our base in Australia, I think, get us away from just mining and minerals.
Craig L. Martin: Yes. John makes a good point. That is a real strength of this company, and more than half of it is involved in other than mining and minerals work.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: That's a good point. Thanks for that color. And maybe John, just to kind of dovetail onto that. Looking at the SG&A here, as you've been looking at SKM, looking at some of these other smaller deals, can you help us get comfortable with what the underlying, kind of exclusive of heavy M&A activity, is in the SG&A line here so we can kind of get a better focus on a go-forward basis as we look into '14?
John W. Prosser: Well, I mean, there's nothing to say that [ph] some of that's not going to continue into '14 as well. But kind of looking back over this whole year, it's probably been something in the $0.08 to $0.10 impact across the whole year.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then maybe just can you just talk a little bit about overall utilization levels? I remember kind of in spring of this year, it seemed like many of your employees, especially in the professional side, were kind of billing a lot of overtime. Have you brought in more people to kind of relieve that burden? And where do you see yourself today on the utilization curve? Any comments on that would be, I think, helpful.
Craig L. Martin: Well, utilization has continued and does continue to be high, but again, it's driven largely by FEEDs and the kind of activity that I described earlier in the call. So we aren't yet seeing the pressure of phases 3, 4, 5 of projects or 4 and 5, I guess, to be technical about it, so what they call the execution phases. And that's where the biggest push for engineering hours and then construction capabilities come. So because we're still kind of seeing those projects moving to the right, the big push in that area has not happened. We're still working a fair amount of overtime. We're probably down a little bit, and we really haven't hit the peak hiring activity that we expect to come.
Operator: The next question comes from Luke Folta of Jefferies.
Luke Folta - Jefferies LLC, Research Division: First question I had was on the public and institutional backlog. You've posted growth in that, and in recent quarters, you've talked about some share gains in that business. And I wanted to understand the growth that we saw this quarter, do you think that, that was more associated with continued share gains in this business or new growth? And any color you can give on what the U.S. versus U.K. split was?
Craig L. Martin: Let me answer the second part of your question first. That business is still dominated by the U.S. So most of what happens, including most of what happens in backlog is a function of what happens on the U.S. side. In terms of what we've done, there's very little, what I would characterize, as new business. So when I think about the federal government business in the U.S., in particular, it's not like the government is creating new kinds of work for us to do. So almost everything in the federal government arena is about market share. And moreover, when you look at the sort of overall contraction of the federal marketplace, coupled with the shift toward more small business awards and fewer large business awards, the pool of opportunity that we're looking at as a company is clearly smaller year-over-year and probably has been getting smaller now for several years. So the improvements in backlog that you see there are clearly share gains, and it's a product, I think, of really good execution of projects and really effective cost management that's allowing us to take that share from the competition. There's really not new business. I mean, it might be new to us, but it wasn't new to somebody. Does that make sense?
Luke Folta - Jefferies LLC, Research Division: Yes, that's helpful. I guess the second question was just on the presentation that you've got out there. On the process page, you make some reference, too, to LNG. It hasn't been something that I thought you were much associated with. Is that more related to the SKM acquisition and upstream opportunities that would feed LNG opportunities? Or do you have some sort of direct leverage there now?
Craig L. Martin: No, we do not have any direct leverage in the LNG marketplace, but increasingly, as we're involved in unconventional gas, as we build our portfolio with conventional gas, we're getting closer and closer to the LNG supply and receipt and what happens in that market becomes more relevant. I still don't -- not suggesting, for a minute, we're going to become LNG lump sum turnkey contractor. That's not us. But there will be opportunities in niche kinds of activities in the LNG market, small scale LNG, for example and a lot of the cast of things that have to happen around an LNG plant that are right up Jacobs' alley. Does that make sense?
Luke Folta - Jefferies LLC, Research Division: Yes, it does.
Craig L. Martin: George, do you want to elaborate?
George A. Kunberger: Yes. Just to elaborate a little bit on that, Craig. I mean, in the LNG world, as Craig said, there's a couple of opportunities. There is certainly the infrastructure and overall development of gasfields, collection, distribution fields associated with LNG in general. The installed capital base of the LNG facilities that you can look at in Western Australia and are coming online in eastern Australia, plus other parts of the U.S., represent not immediate but, certainly, in the not-too-distant future, a large opportunity for us to try and capitalize in a continuous presence and support of those capital investments as they come online and go into the future. And also if you look, without getting specific, at a lot of large energy companies, there's a number of strategies out there, the monetization of natural gas in ways other than just large LNG export facilities, which is what Craig is referring to. There's opportunities there for us to play in that marketplace as well.
Operator: The next question is from Jerry Revich of Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Over the past couple of quarters, you've had excellent momentum in your chemicals business. Can you just talk about how much visibility you have? What's productivity like currently? And I'm assuming the comment on the soft first quarter probably doesn't extend into this business, but can you just say more?
Craig L. Martin: Sure. The soft first quarter is mostly a function of the things that John's already outlined, so it's not, in any sense, a function of our expectations in the chemicals market one way or the other. We think that market is incredibly robust and a huge positive as we go forward. And I'm going to, again, ask George Kunberger, our Head of Global Sales, to talk more about the chemicals market. George?
George A. Kunberger: Yes. I think we have good visibility on the opportunities out there with all of our core clients and key clients, of course, and quite frankly, with a number of what I might -- I don't know how to best characterize them, but not secondary clients, but clients you would not necessarily traditionally think of in that space. The real question is when do the actual capital decisions get made and the approval, as Craig has been talking about, for these things go into detail, design and construction. I certainly do feel, from the information that we have, as what Craig has been saying, that these decisions are getting to the point where they're going to be made. And will all of them be made? I don't think anybody in this conference call would think that every single one of those projects that have been announced are actually going to happen, but a large percentage of them, certainly, seem like they're happening. And that's buoyed by the fact that, like I said, there's some other companies that are -- we would not traditionally think of, that are actively looking at major investments in the same space, which, to me, makes me feel like that marketplace is going to be strong, as we've been anticipating for quite some time.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Okay. And in the infrastructure end market in the U.S., can you talk about the timing of some of the larger bids? Are you getting visibility on some larger projects coming up for bids maybe in the second or third calendar quarter of '14?
Craig L. Martin: George?
George A. Kunberger: Yes. I would not characterize -- our infrastructure business is definitely continuing to improve, as Craig said. The improvement -- the outlook for improvement is not necessarily driven by some large types of project. There are those out there for sure, but those are not driving our positive look -- outlook for 2014 in that space. What is driving is, quite frankly, there's a lot of states, a lot of municipalities that are starting to re-spend -- starting to spend, not re-spend -- starting to spend to improve their facilities and do highways and do bridges and do transit systems that they haven't been able to spend for quite some time in some large metropolitan areas around the south, southwest part of the United States. And so there's a big -- so that's actually good news in a sense that, that stable, ongoing work at the state level that's starting to occur pretty -- not broadly around the entire United States, but certainly, in some very significant areas, in addition to a few of the large iconic projects. So we're not looking necessarily to have to win big projects for 2014 to have our success. We're really looking sort of a baseload business. The larger projects will be a little bit more icing on the cake, I would say.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Thanks for the color. And in terms of opportunities at SKM, you outlined, over time, moving that to EPC-type business or layering on your EPC capabilities on that franchise. Can you give us a sense how you're thinking about timing? And what are your goals post-closing?
Craig L. Martin: Well, I'd say it's probably premature to be talking too much detail about that. We believe that we bring very strong capability in construction to the partnership that SKM, Jacobs have formed here. And that the leverage of that will happen fairly quickly. With respect to the mining and minerals area, we think the first place where that leverage will show up, however, is in that small capital arena where Jacobs has a remarkably solid reputation and SKM has enormously a well-respected capability. So we think it will be more like the Codelco win that I talked about in Chile as areas upfront. As our customers in that arena begin to move back into big EPC greenfield, the leverage of SKM and Jacobs to do EPC becomes very significant. That's probably more of a '15 factor and beyond than it is a '14. With respect to their buildings and infrastructure -- or water and wastewater businesses, there, I think, the leverage will come more quickly. They bring tremendous capability in those areas, not only capability that we can leverage in the geographies they currently serve, but capability that we can leverage in geographies that Jacobs has, where we don't have that capability. So I would expect EPC and EPCM opportunities to become more significant to us in the infrastructures space. But probably on a scale basis, those EPC opportunities won't be as significant as what will happen in mining and minerals over time.
Operator: The next question is from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Craig, just a couple of follow-up comments about the pace of the refinery regulatory spend that you're going to see in the U.S. over the next couple of years. And secondly, with regard to Canadian oil sands, some thoughts on your customer base, given pipeline uncertainty, natural gas potential investment, U.S. success in finding and delivering also, some thoughts on that and how that's going to impact your outlook over the next couple of years on the booking side.
Craig L. Martin: Sure. Let me start with the refining arena. The Tier 3 gasoline rigs have a very short fuse, so short that there's some question in our mind whether the work can even get done in the timeframe it's been allowed for. So we're seeing very significant activity already in terms of people moving toward making selections and getting started on execute phases of these projects compared to what a normal refining investment cycle might look like. So I expect the impacts from Tier 3 gasoline rigs to be very meaningful in '14 and '15 because almost all these have to be done by the end of '17. With respect to the balance of the business upstream, I think we're going to continue to see good investment. I think we're seeing some changes in approaches. For example, and I'll go all the way up to the oil sands, there's clearly a movement now toward more modularization and more flexibility in terms of things like the well pads. We're seeing that sort of move towards modularization and high levels of flexibility across the whole gas and oil business in, at least, the onshore aspects of that, and that's going to drive a lot of investment as we see it mostly driven around capital efficiency and the issues that these customers are trying to achieve. And in some cases, it's also driven around the fact that the payout on some of these wells in the unconventional space, for example, is rapid and short, and so having the ability to move facilities is significant. Jacobs, as you know, I think, is pretty well positioned from a modularization, dealing with those kinds of issues. So I actually think the markets are going to play pretty well in terms of where we are as a company. Did I answer your question, Mike?
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Yes. How about some of these SAGD opportunities and what some of the bigger Canadian companies are thinking about?
Craig L. Martin: We're seeing a fair amount of activity in SAGD in particular. We just went through an analysis that we do periodically of sort of where does the price have to be for the customers to see adequate returns. We're still seeing return on investment numbers that are north of 16% at current prices. So the economics for investment in the oil sands are actually quite good. And again, it's just a matter of how much leverage can you get, so things like modularization of well pads really raises the leverage for these customers in terms of the amount of capital they have to put in and therefore, solidifies these returns, I think, for the long term. So I don't think the -- we're going to see the '07, '08 kind of boom in SAGD and oil sands generally, but I think that's going to continue to be a very solid business. And we've clearly taken a leadership role in that part of the industry.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Excellent, Craig. One just sort of follow-up for John. Have you decided what the mix of financing will be for the handful of acquisitions that you're closing this quarter?
John W. Prosser: It will come from for our existing cash and our existing lines of credit. So you'll see, at the end of the quarter, the cash will be down and the borrowings will be up. But the exact mix will depend somewhat on where they're closing and just interest rates and FX exposure and things like that.
Operator: The next question is from John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: Craig, just coming back to some of your earlier comments, and I guess, John as well, about expecting to get back to that 15% or greater growth, it sounds like, second half of fiscal '14. And are you assuming additional acquisitions in that? Or are you saying you can get there with what you've got on your table now, including SKM?
Craig L. Martin: I think with what's on the plate now, either deals that are pending and should close in the near term or -- and I would put SKM as one of those -- an example of one of those, or the things -- the little ones we've already closed coming up to this point, when you add those things together, getting to that 15%-plus in the second half of the year is highly likely. I don't think we need another big deal or even a bunch of little deals to make that happen.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And that -- and I'm assuming that also includes some of the accretion from things that have already been completed as well. Because -- I mean your comment about 10% organic growth this past year, I assume that relates to net income.
Craig L. Martin: Yes. Definitely, I think, if you take out the onetime gain, it's 13.8% net income growth.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay, okay. So the difference being the acquisitions that you don't comment about, Craig.
Craig L. Martin: Yes. And that was virtually all organic when you get right down to it. The deals that we closed last year were really pretty small, and their contribution toward the earnings was not significant.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And if we'd look out a little bit further over the next couple of years with the deals you've done and your push -- a greater portion of your work being international versus the last couple of cycles, it's -- how should we think about the margin opportunities in all of that work? I mean, will you be doing the same level of construction or field services work outside the U.S. that you do inside the U.S. over time?
Craig L. Martin: That's sort of a yes and no answer, and the reason I'd say that is it's very geography-specific. So we'll be doing the same sort of thing in Canada that we do in the U.S., in fact, already are. I think we'll be similarly positioned in Australia. But probably in other parts of the world, say Western Europe, North Africa, in the Middle East, probably not a lot of direct hire. So there, you're going to be looking at more of an EPCM kind of business. And where the revenue will flow as a consequence of that is subject to some debate because sometimes customers put all that on their paper and so we don't use -- it doesn't go through our books, and sometimes, they put it on our paper, and it does go through our book. But -- so I think the mix will be different depending on where you are in the world, and I think that the contracting strategy will be different. So it's difficult to say what impact that will have on the relative margins as a percent of revenue, for example, depending on what our scope is and how it's accounted for. Does that make sense?
John B. Rogers - D.A. Davidson & Co., Research Division: That does. That's very helpful. And lastly, if I could, your comments on the power market, being more interested in that again or being interested, are you thinking about that in terms of that it's a depressed market? Or are there actual -- do you think there's opportunities near term out there?
Craig L. Martin: Well, our view of the market is that it's another area where there are long-term demands for investment that are being under-met at this point in time and that, that investment will drive a good business. And I'm looking at this now in the 5-, 10-, 15-year kind of horizon, not the next quarter or next year kind of horizon. So we think the power business is a business that Jacobs should be in, and I don't mean by that lump-sum turnkey gas-fired cogen. That's not what I'm talking about at all. But I think there is a good business out there for a company like Jacobs with our business model, and what we -- but we're really going to have to make an acquisition to make it happen. We're not going to be able to bootstrap that business. And so that's why I made a point of mentioning the power business as an area of acquisition so you'd know where our thinking is, but also so people who are in that business listening on this call will know we're interested.
Operator: The next question comes from Brian Konigsberg of Vertical Research.
Brian Konigsberg - Vertical Research Partners, LLC: Just following actually on the M&A line of questioning. So I mean, after SKM is closed, you will have, I guess, a modest amount of net debt. I mean, how do we think about your willingness to leverage the balance sheet from here? Can you give us a range of what you would -- where you would go to lever for the right asset?
John W. Prosser: We've always said that we were willing to leverage our balance sheet and we weren't afraid of debt. We just -- for our business, debt only comes about because of acquisitions. And you put that on top of the comment that Craig said that almost all the acquisitions are opportunistic and that it takes a willing buyer and a willing seller in order to make them. If the right opportunity comes along and we certainly have the capability of leveraging our balance sheet well beyond where it will be after the SKM transaction, so if we had $1 billion or $1.5 billion of net debt, for the right acquisition, it would be something that, certainly, we would consider. Our base business continues to be a good, positive cash generator. And we will continue to be able to use that cash to leverage acquisitions, and it's just the timing. If we've built the cash up, we'll use the cash. If we built -- if we have an opportunity for an acquisition where we don't particularly have the cash balance, we'll use some leverage and borrow it but pay it back as we generate the cash going forward.
Craig L. Martin: The other aspect, Brian, of that, that I think is worth understanding is that sometimes it's not the ability of the company to find or generate cash to do these deals, it's the resources to manage the integration. So it's not like Jacobs sits around with 50 or 60 or executives standing by to go do a deal when one comes along. And so each deal puts a strain on the organization, and that may actually be more of a determinant to how fast or how much debt we might ever have than actually the deals themselves would be. Does that make sense?
Brian Konigsberg - Vertical Research Partners, LLC: That does make sense. And I guess just following on that, with the SKM deal, do you anticipate that the strains associated with managing the integration would maybe put a pause in the M&A timing because you're trying to integrate $1 billion-plus asset?
Craig L. Martin: Well, I certainly think it's unlikely that you would find us doing another $1 billion-plus deal anytime soon. Certainly, there are lots of little deals that won't be impacted by SKM that we continue to look at. So things in the telecommunications space, for example, would be unimpacted by SKM. Another big deal outside the U.S. would certainly be something we'd look hard at before we decide to do that.
Brian Konigsberg - Vertical Research Partners, LLC: Got it. And then just secondly, Craig, you mentioned a lot of opportunities in the Middle East with large project work. Do most of these opportunities reside in the GES plus program? Or is it more broad than that?
Craig L. Martin: No, it's more broad than that. It's broader than Saudi Arabia and certainly, broader than GES plus. So it's activity in Oman, Qatar, Saudi Arabia, the Emirates. It's pretty broadly spread over the -- what we think of as the highly attractive countries in the Middle East.
Operator: The next question comes from Stewart Scharf of S&P Capital IQ.
Stewart Scharf - S&P Capital IQ Equity Research: Regarding your mining and minerals business. A change from the last quarter, it went from strong to growing. Is that specifically attributed to the SKM deal? Or the 1 key point that changed was the asset optimization as a key client concern. So could you just elaborate a little more on that?
Craig L. Martin: Well, yes, it's an easy conversation to have. When we were talking about what word to associate with the market, the general feedback was that trying to say the market is strong wasn't a very good characterization because the market's not strong and that a better word for our position in the market, which we believe is a growing one and solidly growing one, was to switch to the word growing. So there wasn't anything more meant by that than to switch from trying to explain that, "It's strong for us even though it's not strong for the world" to just go on to, "We're going to grow in the marketplace."
Stewart Scharf - S&P Capital IQ Equity Research: Okay. And especially in the oil sands, have you seen any change in trends as far as the delayed projects? Or are things generally trending favorably?
Craig L. Martin: I would say things are trending favorably. I don't -- George is here with me. George, what do you think?
George A. Kunberger: It's a little mixed I would say, not unlike a lot of other places in the U.S. and other places in the world we've been talking about here today. The clients are being naturally considerate about their investments, and that's not -- that's also true in the oil sands. There -- it's interesting out there. Some of the larger, more well-known customers are being very considerate to have a very strong commitment to the oil sands over the long run and have ongoing activities in the development and studying of their projects that we've been involved in and continue to be involved in. There are some additional, again, sort of second tier -- I don't know, I hate to use that word, but different clients than you might normally think about that are looking at investments as well in the oil sands business in addition to the traditional big energy companies, which, again, adds to my confidence that the overall viability of the oil sands business over the medium and long term is very strong. That's a business that those clients out there have to develop. It's an important part of the economy, and they'll find a way to get the oil out of the country. And one way or the other; it will take longer than maybe some other ways, but they're all continuing to study and invest at a nice moderate pace, I would say, versus a hectic pace, which, I think, is, quite frankly, healthy in the long run.
Craig L. Martin: Yes. I -- just to comment on that. I agree with George. I think one of the things that we learn from being up there now for 20 years is that when you see nontypical investors, it's usually a good indication of an ongoing, solid capital base. And when the nontypical investors start to run away, things tend to turn down. That's certainly what we saw in the '08, '09 timeframe, and what we're seeing today is more typical than what we saw in the '05, '06 timeframe.
Operator: The next question comes from Sameer Rathod with Macquarie.
Sameer Rathod - Macquarie Research: First question, I guess, on return on invested capital. You guys have done, I guess, several acquisitions here, some quite sizable. What are the return on invested capital profiles booked for these companies over the next few years? And if we think about acquisitions Jacobs has done over the last 10 years, have ROICs been generally trending lower or higher?
John W. Prosser: Well, long term, it's hard to measure specific returns, acquisition by acquisition because our historic pattern is that we integrate and so you lose some of that specific identification on the return. But I think that when -- as we look at them and study them, they certainly have trended what along what we expected from the acquisitions. And over time, as we look at markets they've come into and development of those markets, they've trended well. I mean there's 1 or 2 that haven't done as well as maybe what we expected. But overall, I think our growth, as near as we can judge from trying to split those out, as we study it, the returns are certainly much more positive than what we get from having the cash in the bank. And with our long-term organic growth in that 10% range or plus 10% range, those returns are probably closer to, from what we would determine, the mid-teens to upper-teens.
Sameer Rathod - Macquarie Research: Okay. I guess my next question is, as I think about the next 3 to 5 years in terms of the project pipelines that Jacobs is looking at or any engineering construction firm, what we know is, obviously, interest rates have been artificially low due to central banks' involvement. How much -- how do you think about, I guess, rates going up and its impacts on your pipeline of projects? Are a lot of your projects dependent on cheap financing? And do you think projects will get delayed in the next 3 to 5 years if rates start moving back up?
Craig L. Martin: I hesitate to speak for our clients in this regard, but I would have to say that most of our clients are looking at their investment as long term, and short-term interest rates aren't a big factor in their decision to invest. That might be true of smaller players. But when you look at big oil, big mining and minerals, big chemicals, big pharma, any of the major customers in this regard, I don't think they are deceived by short-term interest rates as a key criteria for their investment decisions. So I don't expect a nominal or reasonable rise in interest rates to have a materially negative impact on new investment. Obviously, if interest rates go to early '70s level, that will change the game entirely, but I don't see a reason to think we're talking about those kinds of numbers.
Operator: [Operator Instructions] As there are no further questions, this concludes our question-and-answer session. I'd like to turn the conference back over to Craig Martin for any closing remarks.
Craig L. Martin: Thank you, Gary. Thank you, all, for joining us on the call. We are really excited about the prospects for the company in the coming year and beyond. I think all of us will be pleased with where the company is going and the results that we're able to produce. And I look forward to seeing many of you next week. Have a great week.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.